Operator: Good morning. My name is Jennifer, and I will be your conference operator today. At this time, I would like to welcome everyone to the Enterprise Products Partners Third Quarter 2016 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. And I would now like to turn the call over to Mr. Randy Burkhalter. Sir, you may begin.
John Randy Burkhalter - Enterprise Products Partners LP: Thank you, Jennifer. Good morning, everyone, and welcome to the Enterprise Products Partners third quarter 2016 earnings call. Our speakers today will be Jim Teague, Chief Executive Officer of Enterprise's General Partner; and Bryan Bulawa, Chief Financial Officer. Other members of our senior management team are also in attendance for the call today. During this call, we will make forward-looking statements within the meaning of Section 21E of the Securities and Exchange Act of 1934 based on the beliefs of the company as well as assumptions made by and information currently available to Enterprise's management team. Although management believes that the expectations reflected in such forward-looking statements are reasonable, it can give no assurance that such expectations will prove to be correct. Please refer to our latest filings with the SEC for a list of factors that may cause actual results to differ materially from those in the forward-looking statements made during this call. And with that, I'll turn it over to Jim.
A. James Teague - Enterprise Products Partners LP: Thank you, Randy. For the third quarter of 2016, Enterprise generated $1 billion in distributable cash flow. Our distributable cash flow was reduced by approximately $33 million because of pre-commissioning fees for our PDH plant and ethane export terminal, and estimated expenses and lost revenues at our Pascagoula gas processing plant, which is expected to be up in the fourth quarter. We increased our distribution by 5.2% during the quarter and retained $124 million of distributable cash flow. Year-to-date, we've retained over $550 million of cash to reinvest in the business. For the quarter, we transported over 5 million barrels a day through our liquids pipelines, and handled over 1.2 million barrels a day of liquids at our marine terminals. Our volumes were hurt somewhat by weak ethane recoveries industry-wide, lower volumes on our Eagle Ford Crude Oil Pipeline, down time and repairs at our Pascagoula natural gas processing plant. Increases in gross operating margin from many of our fee-based businesses partially offset these lower volumes. While some things like ethane economics are beyond our control and did impact our volumes, we continue to be very aggressive in keeping volumes moving through our system. The third quarter's typically our weakest, but our people, using our integrated system, continued to perform at what are still tough market conditions. Signs continue to point to improved fundamentals. Crude oil prices have nearly doubled since February. The U.S. oil rig count is up over 125, or 40%, since May. There's signs that global inventories will balance in the second half of next year. And there appears to be discussions by OPEC to freeze their output. Since August, ethane has gone from $0.16 to $0.25 a gallon, propane from $0.40 to $0.60, butane from $0.60 to $0.80, and natural gasoline from $0.90 to $1.20. The value of an NGL barrel in South Texas has gone from $0.40 in early August to over $0.55 today. While the move up in oil from the mid-$20s in February has been impressive, there's also been improvement in natural gas prices, where the calendar strip for 2017 has gone from $2.50 to over $3 since March. These types of oil, gas and NGL prices put a lot of basins in the U.S. in the black, and have given U.S. producers the ability to hedge 2017 drilling programs. As to projects, in September we placed our ethane export terminal in service at Morgan's Point. Projects like this truly are exciting, and we're extremely proud, our people were able to complete a world scale project of this size on time and under budget. We also announced that we added propylene export capabilities to our Houston Ship Channel facility. After we complete our PDH plant early next year, Enterprise will have the capability to produce 9.5 billion pounds per year of propylene and we fully expect the Enterprise will play an increasing role in the global propylene trade. During the third quarter, we began service at our Delaware Basin Gas Processing facility, where volumes are currently ramping. This plant is on 50/50 with Oxy. We also built an NGL take away line from the plant that connects to our Chaparral pipeline, and given our focus on value chain, moves the liquids to our Mont Belvieu facility. Our Texas Intrastate gas pipeline is providing the natural gas take away at the tailgate of the plant. This is the second major plant we placed into service in the Delaware basin this year. We've started construction on our third plant in the Permian, a 300,000 a day plant in the Delaware, supported by our long term contracts with major producers, with start-up projected to be in the second quarter of 2018. We're not finished adding assets to serve this basin. All in, we have $5.6 billion of projects under construction and we have several major projects under development, some that we hope to announce before year end. You can't ignore what's been happening in our industry over the last six months. The announcement around a potential OPEC production freeze is certainly encouraging, but we've had very positive momentum since March that had nothing to do with the freeze. At Enterprise, we really don't focus on what OPEC does, we focus on what we do. Global demand continues to increase by over 1 million barrels a day per year, and U.S. producers continue to reduce their costs of finding and producing, while frankly weaker producing nations are struggling to compete. The reality is, that while it feels like bad news comes all at once, the path to recovery is never smooth. We are optimistic, but we are also realists. We believe we are at the inflection point of a recovery phase. It won't be fast, it will be volatile. Over at Enterprise, we've never feared volatility, we embrace it. With that, I'll turn it over to Bryan.
Bryan F. Bulawa - Enterprise Products Partners LP: Thank you, Jim. I will discuss a few notable income items for the third quarter, provide an update on our growth and sustaining capital spending during the quarter along with expectations for the remainder of the year, and close with an overview of our balance sheet metrics and capital raising activities for the quarter. Net income attributable to limited partners for the third quarter of 2016 was $635 million, or $0.30 per unit on a fully diluted basis, compared to $649 million or $0.32 per unit on a fully diluted basis for the third quarter of 2015. Asset impairment charges were $7 million for the third quarter 2016, which is a $20 million decrease when compared to the same period in 2015. We recognized a $9 million gain from the sale of our Reno and Rockland propane terminals in the third quarter of 2016 versus a $13 million loss taken from the disposition of our Offshore business in the third quarter of 2015. G&A expenses decreased $7 million this quarter, primarily due to lower compensation and legal expenses. Total capital spending in the third quarter of 2016 was $621 million, which included $62 million for sustaining capital expenditures. We expect organic growth capital expenditures for 2016 to be approximately $2.8 billion and sustaining capital expenditures to come in around $250 million this year. It should be noted the $1 billion second and final installment payment for the EFS Midstream assets made in July of 2016 is excluded from the aforementioned capital spending figures. At September 30, 2016, our total debt principal outstanding was $24.2 billion. The average life of our debt portfolio was 16.2 years. And our effective average cost of debt was 4.5%. Adjusted EBITDA for the 12 months ended September 30, 2016, was $5.2 billion. And our consolidated leverage ratio was slightly under 4.5 times after adjusting debt for the 50% equity treatment ascribed by the rating agencies for the hybrid debt securities and to further reduce per cash and cash equivalents. This peak level of leverage is consistent with the guidance we've provided during the last several earnings conference calls, as well as the peak metrics we presented to the rating agencies at the beginning of the year during our regularly scheduled annual review. An important item to note, and was referenced in last quarter's earnings call, is that we had approximately $1 billion of incremental debt, or an incremental 0.2 times of leverage. This is associated with working capital tied to marketing opportunities across commodities that are scheduled to liquidate over the fourth quarter of 2016 and the first quarter of 2017. Further, we anticipate modestly lower leverage metrics over the next several quarters as late-stage growth projects come into service, the aforementioned short-term marketing inventory positions liquidate, and an increasing contribution from completed projects with a contractual ramp in cash flows such as, but not limited to, our ethane export facility, our Aegis pipeline, our EFS Midstream assets, and our ATEX pipeline. Our disciplined approach towards appropriately managing the leverage over the long term has not changed, where we continue to target leverage metrics at 3.5 to 4 times. Our leverage metrics remain in this range when adjusting for debt associated with growth projects under construction and applying their proportional contracted cash flow. In addition to the $124 million of retained distributable cash flow during the third quarter, we raised $282 million in net equity proceeds through our distribution reinvestment program, our employee unit purchase program, and the at-the-market or ATM program. As mentioned earlier in the year, we largely pre-funded the majority of our 2016 equity needs during the first four months of 2016. As a result, and similar to my earlier comments on leverage and Jim's comments regarding an improving commodity price environment, DCF coverage is typically at its lowest level during the seasonally weaker third quarter and should improve over the next few quarters. Finally, our consolidated liquidity was approximately $3.5 billion at September 30, 2016, which included available borrowing capacity under our credit facilities and unrestricted cash. I will now turn the call back over to Randy.
John Randy Burkhalter - Enterprise Products Partners LP: Thank you, Bryan. Jennifer, we're ready to take questions from our participants – our audience.
Operator: Our first question comes from the line of Brian Zarahn with Mizuho.
Brian Zarahn - Mizuho Securities USA, Inc.: Good morning, everyone.
A. James Teague - Enterprise Products Partners LP: Good morning, Brian.
Brian Zarahn - Mizuho Securities USA, Inc.: Given the recent uptick in rig count activity in the Permian, any high level views of the impact to your asset base? And any potential updates on the Midland-to-Sealy pipe?
A. James Teague - Enterprise Products Partners LP: Well, I think the fact that we are starting construction on our third plant out there and the fact that my comments, I said we're not through, obviously what's going on, we're paying a close attention to it and we're pretty excited about it. As to our Midland's Houston pipeline, Brian, the pipe is purchased. The right-of-way is all but done, over 90% of the right-of-way. I think we're looking at April/May of 2018 and we're going to build the pipe. And we think it'll be full. Its initial capacity is 300,000 barrels a day, and Laurie, we've got one, two, three contracts. So it's going to be a success. I think it's a project we needed and it's a project that report to us and we're going to expand.
Brian Zarahn - Mizuho Securities USA, Inc.: On the crude pipe, any, this incremental, more interest in signing up capacity or it's still under discussion?
A. James Teague - Enterprise Products Partners LP: Say that again, Brian. I'm sorry.
Brian Zarahn - Mizuho Securities USA, Inc.: I think your last update was about 60% of the pipe was contracted. I guess any updates or any color on conversations with shipper is given the crude price recovery, the rig count activity, M&A activity in the basin?
A. James Teague - Enterprise Products Partners LP: Yeah. We're having more discussions on that pipe and it's not going to surprise me if we're not full when it comes up.
Brian Zarahn - Mizuho Securities USA, Inc.: Okay. And then the, I guess my second question would be any broad strokes on some of the projects you're looking at? Any update on Centennial?
A. James Teague - Enterprise Products Partners LP: Yeah. We're pretty excited about the projects that I mentioned. We have a handful that – when crude prices are in the $20s and gas prices are $2, organic projects gaining traction is kind of difficult. What we've seen is we've got a handful of projects that we're working on that are very exciting, and I think we'll pull at least a couple of them if not three of them across the finish line, and certainly, Centennial could be one of those.
Brian Zarahn - Mizuho Securities USA, Inc.: Do you think Centennial will be one of those by the end of the year that could be announced?
A. James Teague - Enterprise Products Partners LP: Keep trying, Brian.
Brian Zarahn - Mizuho Securities USA, Inc.: I know you're cracking the whip, Jim. I don't doubt that.
Operator: Your next question comes from Brian Gamble with Simmons & Company.
Brian Gamble - Simmons & Company International: That enthusiastic chuckle was a great little breather, Jim. I'm sure you're doing a great job. The question I wanted to focus on was on the NGL market. You talked about the ethane economics and how it's impacted volumes. Clearly, there's still a pretty decent slate of crackers scheduled to come online by the end of 2017. But, Jim, can you walk us through anything that's changed in your mind or from a timing standpoint of balancing out that market as economics have been shifting? Clearly, they've been very volatile, and you noted the upticks since August. But, when you look longer term, maybe a few, just opinions and broad strokes about where you see the industry and any changes that have developed in your mind over the past month or quarters?
A. James Teague - Enterprise Products Partners LP: When you have this much capacity come on, things happen. If you listen to Tony, and I do, and these crackers come on and they run it right, then you've got an appetite for ethane that cannot be supplied, satisfied on the Gulf Coast. So it's got to attract volume from other places, like the Northeast or out of the Rockies, or out of the Mid-Continent. If you're sitting in the Permian or the Eagle Ford, you're probably in pretty good shape from a margin perspective. However, those crackers come on and their ethylene margins compress and they don't run at the rates we expect them to, then the appetite will be less. Ultimately, they will run, and they will attract ethane barrels from the Northeast and from the Rockies. But it really doesn't hurt their competitiveness when you think about it, because it's still about the gas to crude spread. So, you can have ethane prices go up so that it supports transport out of the Northeast or the Rockies, and the ethylene plant still be advantaged here relative to the rest of the world. I'll ask Tony if he wants to add to that?
Anthony C. Chovanec - Enterprise Products Partners LP: Jim, I've got nothing to add. Thank you.
Brian Gamble - Simmons & Company International: Great. And then my follow up, I guess best place to just focus on that particular point when you guys mentioned your ethane export levels for Q3, you note the year end 2016 and year end 2017 levels as well. Can you remind us of a, how much additional capacity there is beyond those quoted rates? And then b, what sort of EBITDA impact that could be by the end of next year?
A. James Teague - Enterprise Products Partners LP: I don't have the EBITDA impact, but Joseph (18:17), we've got about 25,000, 30,000 barrels a day of additional capacity to sell?
Unknown Speaker: That's correct. The total capacity is 200,000 barrels a day.
A. James Teague - Enterprise Products Partners LP: And we're at about 165,000, 170,000, in that range?
Unknown Speaker: We're probably around 175,000.
A. James Teague - Enterprise Products Partners LP: 175,000. And, I don't know, pick a number, $0.10, 0.09 a gallon? I screwed up your negotiation on your next deal, but...
Unknown Speaker: Sure. Pick a number.
A. James Teague - Enterprise Products Partners LP: We say, when Joseph says our capacity is 200,000 barrels a day, that's what we feel like our operational capacity is. Our instantaneous capacity is 10,000 barrels an hour or 240,000 barrels a day. We're going to be a little conservative in what we contract to until we get some experience under our belt. But if the ethane facility has anything like our LPG facility, we'll run that thing at over 90% operating rate, and in my background I always thought 80% was fully utilized. Here we go over 90%. And if we did that on ethane, then we've got more to sell.
Brian Gamble - Simmons & Company International: Great. Thanks, Jim.
Operator: Your next question comes from the line of Brandon Blossman with Tudor, Pickering, Holt.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Good morning, everyone.
A. James Teague - Enterprise Products Partners LP: Good morning, Brandon.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Right. Someone's going to have to ask this question, Jim, so I'll be that person. M&A thoughts as you sit currently, kind of balance of strategy versus valuation if something came in the door, what would you rank one over the other and is there anything missing from your portfolio today as you look out over the next five years that you'd like to add just from a commodity or a business line?
A. James Teague - Enterprise Products Partners LP: I think Randall whispered...
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: I can add more if that's not enough.
A. James Teague - Enterprise Products Partners LP: Yeah, Randall whispered in my ear that the answer to your question is yes. Yeah, I think it – we may as well look at the elephant in the room. We had some discussions along the lines of Williams and obviously one of the things that we liked about that were their long-haul natural gas pipelines. Personally, I don't think you build your way into that, but if that was something that came available, we'd probably look at it. But I think people – I mean we made some acquisitions recently and I think folks, we're looking at things almost every day from little to big. But, one of the things that excites us right now is seeing more organic projects that have darn good returns that we are in control of from the get go, and while acquisitions could make sense, price matters and we're not going to chase them.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: All right. Well, that is a comforting answer, I think. Easier, much easier question, Midland-Sealy, 24-inch pipe, current capacity 300, you've talked about being able to go up to 450. Question is, is that the absolute capacity, 450? And what would CapEx requirements be to move up higher than that?
A. James Teague - Enterprise Products Partners LP: That's pretty much the absolute capacity, isn't it Laurie? 450? And I don't know what the CapEx requirements are and I doubt I'd tell you if I did.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Just order of magnitude? Relatively minor?
A. James Teague - Enterprise Products Partners LP: It's not that much. No. It's incremental and it's pumps.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Okay. That's expected. And then just real quick, in the prepared comments, or actually in the news release, some comments around Eagle Ford and Haynesville, signs of life. Any incremental color on that that you can provide?
Anthony C. Chovanec - Enterprise Products Partners LP: Yeah, so let's start – this is Tony, Brandon. Let's start with the Haynesville, where we're seeing a significant change in operators, new operators coming in, acreage being sold, applying new science – I shouldn't say new science, applying science that has not been applied in that acreage, and the results that we're seeing generally are exceeding even what the new producers told us they were going to do, so they're very happy with their results. Relative to the Eagle Ford, the Eagle Ford acreage is largely held by production. You have, I'm going to call it a hand full of major players down there that largely aren't drilling because their acreage is held and they have an interest in holding acreage in other areas. So we think some of that acreage is going to change hands just like we've seen starting in Haynesville, except the deals are going to be larger. We feel very good about the Eagle Ford rock, as we always have. It's now developed at what we believe is a commercial lean gas window and it sits probably in the best place in the whole country relative to markets. So we believe that you'll see acreage turn over in the Eagle Ford and drilling begin. And 2017 could well be the year that you see that process starting.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Okay. Perfect. Thank you, Tony.
Operator: Your next question comes from the line of Darren Horowitz with Raymond James.
Darren C. Horowitz - Raymond James & Associates, Inc.: Morning, guys. Jim, if I could, I want to go back to reference the comment that you made about ethylene cracking capacity ramping into next year, and I think we've got a pretty good idea of incremental ethane demand, but more importantly, from an ethylene production or supply perspective, with the amount of polyethylene that's entering the market and the headwind that could have for ethylene prices, when do you think we get to a point where it starts to impact economics back to the wellhead? And maybe it starts to challenge this ethane recovery incentive that we've been seeing to the extent that it swings ethane frac spreads regionally into a more negative position, or does it not?
Anthony C. Chovanec - Enterprise Products Partners LP: Darren, I'll take that.
A. James Teague - Enterprise Products Partners LP: Darren, we give all the hard questions to Tony.
Anthony C. Chovanec - Enterprise Products Partners LP: So, if you just do the balances, you're adding about 50% ethylene capacity in the U.S. and it's along the U.S. Gulf Coast. So, do we see regional differences in netbacks in the future? We absolutely do. Because if you're going to run all these plants, you're going to need supplies from areas that have, what I'll call, stranded ethylene. Ethane, at the current time, so that ethane is going to have to have a strong price signal for producers to plan on drilling it, processing it and shipping it to the U.S. I think that's the bottom line. If ethane prices get too high, then we've said before that it's our anticipation that the merchant players are going to be, I'll call it the odd man out, because they don't have the value chain to produce polyethylene and the other derivatives. So, I hope that answers your question, Darren, but that's summarily how we see it.
Darren C. Horowitz - Raymond James & Associates, Inc.: It does, Tony. And I appreciate it. I'm just curious as a follow-up, and we expect it the same way. As you see, I think, more volatility in regional ethane frac spreads, we see a tremendous amount over the next 12 months to 18 months of arbitrage opportunity. And when you start talking about the value chain incremental equity NGL barrels to be produced, let's just say at a – the Piceance you went to, Meeker and those plants. How do you see the biggest regional margin capture opportunity? Is it Conway to Belvieu? Is it possibly Belvieu to South or even West Texas? Or maybe even more leverage, referencing an earlier question, on an arbitrage opportunity between the Marcellus and Utica in the Gulf Coast?
A. James Teague - Enterprise Products Partners LP: I think it's all of the above.
Darren C. Horowitz - Raymond James & Associates, Inc.: Okay. Thank you.
Operator: Your next question comes from the line of Kristina Kazarian with Deutsche Bank.
Kristina Kazarian - Deutsche Bank Securities, Inc.: Morning, guys.
A. James Teague - Enterprise Products Partners LP: Good morning, Kristina.
Kristina Kazarian - Deutsche Bank Securities, Inc.: So a quick follow-on. I know you talked about the Eagle Ford and the Haynesville, but when I was thinking about the press release talking about green shoots of producer activity, are there any other regions you guys want me to be thinking about where you maybe are seeing a little more than you were expecting at first?
Anthony C. Chovanec - Enterprise Products Partners LP: We're seeing some acreage turning over in the Rockies. And we're seeing signs that people that are players in the Rockies are committed to the area in more ways than one. So I would call some of the activity we're seeing in the Rockies a green shoot.
Kristina Kazarian - Deutsche Bank Securities, Inc.: Okay. That's helpful. And then a clarification on the ethane side as well. I know you've gotten a lot of questions here, but can you touch on a bit what you guys are seeing if any of the chem companies maybe like stepping up and wanting to lock in some ethane capacity on your system as they're trying to secure supply for their facilities coming online? Any good updates on the margin there?
A. James Teague - Enterprise Products Partners LP: I don't know that – I tell you, I don't see that we've seen a heck of a lot of that. The U.S. ethylene companies, I mean, I think they act like – they know that Mont Belvieu is a pretty liquid supply. I guess one place where they definitely stepped up was on our Aegis pipeline, because the subscriptions on that pipeline, if I'm not mistaken, are all petrochemicals. So they stepped up and subscribed to our Aegis pipeline, and it's fully committed. So, I guess, that's one example where they did step up.
Kristina Kazarian - Deutsche Bank Securities, Inc.: And anything on the margin more recently in terms of inbound requests?
A. James Teague - Enterprise Products Partners LP: Not that I recall. Doug? (28:37). No.
Kristina Kazarian - Deutsche Bank Securities, Inc.: All right. Thanks, guys. That's it for me.
Operator: Your next question comes from the line of Shneur Gershuni with UBS.
Shneur Z. Gershuni - UBS Securities LLC: Hi. Good morning, guys.
A. James Teague - Enterprise Products Partners LP: Good morning, Shneur.
Shneur Z. Gershuni - UBS Securities LLC: Just had a couple of, some follow ups to some of the earlier questions, in particular the first two Brian's. Just with Midland-to-Sealy, and I know we've been beating this to a dead horse here. But, basically, at what point do you need to decide in the construction process whether you go at 300 versus 450? Is that a decision that you can make while construction is underway to actually upsize the pipe? And then secondly, the discussion about ethane potentially needing to come from other regions and so forth. Have you been looking at an ATEX expansion? And is that something that we can hear about in relatively short order?
Graham W. Bacon - Enterprise Products Partners LP: Yes, this is Graham. And regarding to Midland-to-Sealy, when you look at the design and layout of a pipeline, you plan for the expansion and the layout so that you're not doing that after the fact. So that's incorporated into our planning for that particular pipeline.
A. James Teague - Enterprise Products Partners LP: We could make the decision fairly quickly.
Graham W. Bacon - Enterprise Products Partners LP: We can make the decision at any time.
A. James Teague - Enterprise Products Partners LP: Okay. In terms of your ethane out of the Marcellus, we could put projects in place to bring more ethane out of the Marcellus.
Shneur Z. Gershuni - UBS Securities LLC: Is it something that you are looking at doing? Or evaluating to do something in relatively short order? Or is that something that would take longer, you would have to see the crackers come up and see where the market balance is at?
A. James Teague - Enterprise Products Partners LP: It would take 18 months from the time of decision.
Shneur Z. Gershuni - UBS Securities LLC: Okay. Fair enough. And there was a discussion, I think it was with Darren, about ethylene and what would happen if the prices fell, and so forth. And maybe this is a question for Tony to opine on. But, is there a scenario where the U.S. would, even if ethane was to go up, would still continue to move forward because of the fact that their world-scale crackers and potentially close, or force other crackers around the world to actually shut? I was just wondering if you can talk about that dynamic, as to when it really would impact production on the merchant side in the U.S.?
A. James Teague - Enterprise Products Partners LP: Yes. There are advantages of gas to crude. So if you believe that gas is going to sell at a low relationship to crude, then ethane can go up and they're still cost advantaged to nab the crackers in other parts of the world. Tony?
Anthony C. Chovanec - Enterprise Products Partners LP: Completely agree.
Unknown Speaker: And we publish our breakevens. We think natural gas in the U.S. is going to be extremely competitive for a long time. It has been, and we believe it will continue to be.
Shneur Z. Gershuni - UBS Securities LLC: Okay. Fair enough. And then one earnings question. Some pretty strong results in the Crude segment. Any specific color on the strong performance? I realize it's sort of consistent with last year, but it's a pretty large step up from the prior quarter. I was wondering if you can give us a little color as to why we saw that kind of strong performance there?
Bryan F. Bulawa - Enterprise Products Partners LP: Hey, Shneur, this is Bryan. Some of that shift if you recall from last quarter was mark-to-market movement, so you had a kind of reversal of that and then you have improvement as well with respect to our EFS Midstream assets.
Shneur Z. Gershuni - UBS Securities LLC: Cool. Great. Thank you very much, guys. Really appreciate the color.
Operator: Your next question comes from the line of Jean Ann Salisbury with Bernstein.
Jean Ann Salisbury - Sanford C. Bernstein & Co. LLC: Morning. Just a couple about NGL exports. So third-party reports suggest that overall Gulf Coast NGL exports had a really big rebound since the August lows, but Enterprises' volumes have actually kind of gone in the other direction. I know it doesn't impact earnings heavily because of the take-or-pay, but was wondering if you had any comment to why this could be. Do your competitors maybe just have different contract structures?
A. James Teague - Enterprise Products Partners LP: Our competitors have a lot fewer contracts, so I don't know if the ratio's different. We could have more cancellations and still have a lower ratio of cancellations to contracts. Joseph, you got any thoughts?
Unknown Speaker: Yeah. I mean, we've seen the ARB improve as we've gone through the third quarter and into the fourth quarter and we expect that to continue and volumes to reflect that. I think we're fairly happy and pretty proud of our third quarter export numbers actually.
Jean Ann Salisbury - Sanford C. Bernstein & Co. LLC: Okay. And then some of your take-or-pay for LPG exports does begin to roll off in 2018 and 2019. Are you actively remarketing that capacity and can it actually be remarketed as PGP or even other products?
A. James Teague - Enterprise Products Partners LP: The answer is, we are always trying to – we try to go out as far as we can. We don't wait for them to roll off. So Joseph continues to push forward, and believe me he gets a lot of help around here on continuing to push for more contracts further out. I think we're realistic. We're not going to sleep at $0.12 to $0.14, but one of the advantages we have for us: we've been doing this a long time and people recognize that we deliver on what we say we'll do and we continue to have discussions and we sign people up. As far as the propylene, yeah, we put the capability to export propylene out at the Ship Channel because we believe in it and we've seen our cargos, we've seen a steady growth in our propylene exports and surprising to me, we've even seen some go to Europe, Cory (34:47)?
Unknown Speaker: Yes, that's correct.
A. James Teague - Enterprise Products Partners LP: So, we sit back and say, hey, this is another opportunity. You're going to have a lot of propylene in the U.S. We're going to have crackers I believe in other parts of the world that aren't going to run it right, so not run at all that typically were producing a lot of propylene and we think there'll be a draw on what we have here.
Jean Ann Salisbury - Sanford C. Bernstein & Co. LLC: Great. Thanks. That's really helpful. One last one is on that 25,000 or so of ethane that you have – and I get you started up and then start to sell it. But, is there any opportunity for a spot ethane market so to speak or is it more like you would sell it for a cracker that would take a couple of years to convert to be able to take it?
A. James Teague - Enterprise Products Partners LP: It's pretty much point A to point B at this point in time. I'm not saying that it won't develop into a traded commodity, but it's going to be a while. All of our customers are petrochemical customers.
Jean Ann Salisbury - Sanford C. Bernstein & Co. LLC: Great. Okay. Thank you very much.
Operator: Your next question comes from the line of Ted Durbin with Goldman Sachs.
Theodore Durbin - Goldman Sachs & Co.: Thanks. We've seen a lot of activity in the Permian and actually on the Delaware. Have you considered expanding Midland-to-Sealy all the way out to the Delaware?
A. James Teague - Enterprise Products Partners LP: No. It's a good question, Ted, and we looked long and hard. I'm looking over to Brent (36:15) to help me here. We looked long and hard at building upstream of Midland and frankly there's a lot of PE projects that, I guess, could use leverage returns, Randy, and we looked at the return. We would have to accept and we said, no, thank you. The reality is, we really believed this. We believe this is where Cushing is concerned. We believe that we do our jobs right on the Gulf Coast, given our connectivity to every refinery in Texas City, Houston, Beaumont and Port Arthur and given our access to water and given the amount of storage we have, if we do our job right there, we're going to pull barrels through because the Gulf Coast is where a lot of these barrels want to be.
Theodore Durbin - Goldman Sachs & Co.: Okay. That's helpful. And then on Centennial. I think you said you can move 200,000 a day. Can you talk to us just about how much volume you would need to get contracted up to make that project to go? Is it half of that? And remind us if that's just propane or you're thinking about maybe an ET mix there.
A. James Teague - Enterprise Products Partners LP: We're thinking about a lot of things that we're probably not going to talk about right now. I got a partner that we have a high regard for, a lot of respect for and we've been in discussions and we're going to continue discussing a lot of ideas with Marathon. The one thing I'll say is that Marathon and Enterprise, given their position in the Marcellus, are very much aligned in what a solution might be.
Theodore Durbin - Goldman Sachs & Co.: Okay, great. And then if I can sneak one more in. Can you just give us a sense as you're looking ahead to 2017 how the CapEx budget is lining up? Is it close to where we are with the 2016 growth capital budget? And then how do you think about distribution growth as you balance the need for financing the CapEx versus the half-penny increase you've done for many quarters in a row?
Bryan F. Bulawa - Enterprise Products Partners LP: Hi, Ted, it's Bryan. As far as 2017 expectations, we're really in the early stages of our 2017 budgeting process, so I'd prefer to give you a qualified response than a wide estimate range. So more to come on that, but I don't think you'll see any changes from what you've seen in the past with respect to distribution growth.
Theodore Durbin - Goldman Sachs & Co.: Okay. Thanks. I'll leave it at that.
Bryan F. Bulawa - Enterprise Products Partners LP: And the way we've financed ourselves.
Theodore Durbin - Goldman Sachs & Co.: Yep, understood. Thank you.
Operator: Your next question comes from the line of Jeremy Tonet with JPMorgan.
Jeremy B. Tonet - JPMorgan Securities LLC: Good morning.
A. James Teague - Enterprise Products Partners LP: Good morning, Jeremy.
Jeremy B. Tonet - JPMorgan Securities LLC: Jim, it seems like we're facing a brave new world of pipeline buildout these days, given the regulatory and environmental concerns out there. I was just wondering if you could walk me through how you think about construction risk these days, and how it plays into your business model?
A. James Teague - Enterprise Products Partners LP: I think a pipe in the ground is going up in value dramatically because of a lot of what's going on today. I think as you look at constructing new pipe, you hope it's in Texas and Louisiana, and you probably put a little fudge factor in if it's anywhere else.
Jeremy B. Tonet - JPMorgan Securities LLC: Got you. But at this point would it dissuade you from doing projects outside of kind of the areas you laid? Or are you just kind of risking it more?
A. James Teague - Enterprise Products Partners LP: We're going to risk adjust the thing. We're probably going to take a hard look at our capital, but I don't think it's going to stop us from building where we want to build and where we need to build, where people want services.
Jeremy B. Tonet - JPMorgan Securities LLC: Great. Thanks. And then just one more if I could. I just want to follow-up on what you were talking about with the Eagle Ford as far as maybe land changing hands there. And I was just thinking back with the Pioneer acreage, just using that as an example, if that was to be sold to private equity or something like that, would the contracts move with that? Would Pioneer still be on the other side? Or how do you think about that type of scenario, or that type of risk?
A. James Teague - Enterprise Products Partners LP: Depends on the kind of deal that someone like a Pioneer would do, whether they'd wear it, or the other person would assume it. But the contracts stay intact and we continue to get paid and move the barrels.
Jeremy B. Tonet - JPMorgan Securities LLC: Okay, great. That's it for me. Thank you.
Operator: Your next question comes from the line of Michael Blum with Wells Fargo.
Michael Blum - Wells Fargo Securities LLC: Hi. Thank you. Just had one question on the earnings for the quarter. In the press release, you talked about lower NGL volumes across Mid-America, Seminole, Dixie, a whole bunch of the smaller NGL pipelines. Can you talk about exactly what's driving that? Is that purely ethane or is there other factors that's sort of driving those year-over-year declines in volume? Thanks.
A. James Teague - Enterprise Products Partners LP: I'll try it and then throw it at Bryan and anyone else who wants to. But I think we saw a lot of ethane rejection by Enterprise tug in the third quarter. And if you think about it, with our variable economics, if we're in rejection, it's pretty bad. So I think that was a lot of it. Bryan?
John Randy Burkhalter - Enterprise Products Partners LP: Michael, this is Randy. The other thing I'll throw out too is we had Dixie on hydro test on some of the segments there, and that impacted some of the volumes on the Dixie pipe.
Michael Blum - Wells Fargo Securities LLC: Okay. Great. Thank you, guys.
Operator: Your next question comes from Nick Raza with Citigroup Research.
Nick S. Raza - Citigroup Global Markets, Inc. (Broker): Thank you. Good morning, guys. Just a quick couple of questions on Centennial. Specifically, do you think there'd be any sort of regulatory hurdles in getting that project done, assuming you lined up all the shippers and all the interest?
A. James Teague - Enterprise Products Partners LP: No, I don't think it'd be any regulatory hurdles that I'm aware of.
Nick S. Raza - Citigroup Global Markets, Inc. (Broker): Okay. So we'd still be targeting sort of an 18-month turnaround for that project that I think we had sort of loosely discussed in prior quarters or prior earnings calls?
A. James Teague - Enterprise Products Partners LP: I think you're looking at 18 months.
Nick S. Raza - Citigroup Global Markets, Inc. (Broker): Okay.
A. James Teague - Enterprise Products Partners LP: Graham, is that about right?
Graham W. Bacon - Enterprise Products Partners LP: That's in the ballpark.
A. James Teague - Enterprise Products Partners LP: Graham's going to say 18 months to 24 months.
Graham W. Bacon - Enterprise Products Partners LP: You were reading my mind.
Nick S. Raza - Citigroup Global Markets, Inc. (Broker): Fair enough. What level of commitment would you guys need before you start moving forward with that project? Do you need to have 60% of the pipeline, 70%, 80% all signed up and secure before you move forward?
A. James Teague - Enterprise Products Partners LP: There's a level – probably I'm not going to say, but there's a level of commitment that we'd want that equated to an accretive return that had upside.
Nick S. Raza - Citigroup Global Markets, Inc. (Broker): Okay. Fair enough. And the last question I had really was about the ethane exports. You sort of commissioned the facility in September, and the press release says that you had a $3 million loss. Was that just – are we to assume that's just a one-time scenario? Specifically, I guess what I'm really asking is what level of ships do you guys need to sort of breakeven?
A. James Teague - Enterprise Products Partners LP: Well, let me put it like this. This thing ramps – I don't think the first really big ship comes in until December, Joseph? So this thing is going to ramp throughout next year, if I'm not mistaken. So, it's crawling right now before it walks, but it's just kind of a natural, normal ramp that we're going to go through over the next year before it really gets loaded. Is that right, a year?
Unknown Speaker: (44:19-44:24)
Nick S. Raza - Citigroup Global Markets, Inc. (Broker): I'm sorry. I didn't catch that.
A. James Teague - Enterprise Products Partners LP: This project ramps up over a year. So, our volume will be small until all of the contracts are starting up, and I think they'll probably start up by the first of the year and then ramp throughout the year, Joseph?
Unknown Speaker: That is correct. Yes.
Nick S. Raza - Citigroup Global Markets, Inc. (Broker): Fair enough. Okay. And last question, guys, in terms of the ethylene exports opportunity, has there been sort of a movement forward on that? If you can just give us a little bit of color?
A. James Teague - Enterprise Products Partners LP: We've gained some traction with some people. I think we'll see. I think some of these people recognize they need a – they'd like to have access to more markets. I think they're looking at Asia. And we feel pretty good about the project. And personally, I don't think this is going to go fast, but I think it will go. I think we have a location we can put it that as far as exporting ethylene we can probably build it cheaper than anyone else, and you can imagine we do it at Morgan's Point, we're sticking it right next to our ethane export. So it kind of ties together.
Nick S. Raza - Citigroup Global Markets, Inc. (Broker): Got you. Thanks, guys. That's all I had.
John Randy Burkhalter - Enterprise Products Partners LP: Jennifer, this is Randy. We'll take one more question.
Operator: And our final question comes from John Edwards with Credit Suisse.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Yeah. Good morning, everybody. Thanks for including me in the last question. Just in – Jim, you were talking in your preliminary comments in terms of uplift on ethane pricing, it's gone from $0.16 to $0.25. I'm just – this is probably a Tony question, just, where do you think the next couple of years that price is going? Are you thinking $0.35 to $0.40 range? Or if that's wrong, if you could correct our thinking?
A. James Teague - Enterprise Products Partners LP: Yeah. I don't look at it in terms of price. I look at it in terms of margin, John. But, I'll let Tony answer it.
Anthony C. Chovanec - Enterprise Products Partners LP: I think it's very difficult to call price, especially on something like ethane. When you're looking at plants of this magnitude ramping up and the amount of rejection that we have today. So it's – that'd be a hard price to forecast. We're not, as Jim said, that's a trade. That's just not – it's not what we're about. But with that said, you know there's a fair amount of contango in the market today, so the market is trying to price in in contango and give producers a price signal.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Okay.
Anthony C. Chovanec - Enterprise Products Partners LP: Out in the curve.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Okay. So then you're thinking about it in terms of margins, how – what's kind of your thought along those lines?
A. James Teague - Enterprise Products Partners LP: I look at it, John, that okay, what's it take to get to market.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Okay.
A. James Teague - Enterprise Products Partners LP: If these crackers come up and run at rates, then if I'm sitting at the – in the Permian or in the Eagle Ford, I'm looking, I'm $0.10, $0.12 a gallon away from the market. If I'm in the Rockies or I'm in the Marcellus, I'm $0.22, $0.23 a gallon away from the market. If the market wants to attract those barrels, then if I'm in the Permian, I'm $0.12 to the good after my cost.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Yep. Okay. Fair enough. And then just if I could, kind of a follow-on to Ted's question just in terms of where you are on projects currently under development. I mean, would you say it's picking up a bit? About the same as last quarter? Or maybe slightly lower than last quarter? Kind of where do those stand?
John Randy Burkhalter - Enterprise Products Partners LP: Yeah, John. This is Randy. I think what we're seeing right now is we continue to see good traction on the projects that are under development.
A. James Teague - Enterprise Products Partners LP: Oh is that – okay. I couldn't quite get the question.
John Randy Burkhalter - Enterprise Products Partners LP: Yeah. So it's – I think we picked up some momentum here in the quarter.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Okay. So in terms of – if I translated that into backlog, would you say it's a little bit higher?
A. James Teague - Enterprise Products Partners LP: Yeah. You could say it's a little bit higher at $26. And at crude oil, I didn't know if there was a backlog.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Well, I'm just thinking from last – since last quarter?
A. James Teague - Enterprise Products Partners LP: I do think it's a little bit higher.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Okay. All right. So a little bit positive, positive trending there. Okay. Great. That's it for me. Thank you.
John Randy Burkhalter - Enterprise Products Partners LP: Thank you, John. Jennifer, if you would, if you could give our participants the replay information? And then after you do that, that will end our call. I'd like to thank our participants for joining us today. Go ahead, Jennifer.
Operator: A replay of today's call will be available starting today, October 27, 2016, approximately two hours after the end of this call at 1:00 p.m. Eastern Standard Time and will be available until November 5, 2016, at midnight. If you would like to access this replay, you may dial 1-800-585-8367 or 1-855-859-2056. And for local participants, you may dial 404-537-3406. Again, this replay will be available from today at approximately 1:00 p.m. Eastern Standard Time until November 5, 2016 at midnight. Thank you. This does conclude today's conference call, and you may now disconnect.